Operator: Good day everyone and welcome to today’s program, Trinity Industries First Quarter Results Conference Call. At this time all participants are in a listen only mode. Later you will have the opportunity to ask questions during the q & a session. Please note this call maybe recorded. I will be standing by if you should need any assistance. Today’s conference call contains forward-looking statements, as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings, for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. And it is now my pleasure to turn the call over to James Perry, with Trinity Industries. Please go ahead.
James Perry: Thanks you Shannon. Good morning from Dallas, Texas, and welcome to the Trinity Industries first quarter 2010 results conference call. I am James Perry, Vice President, and incoming Chief Financial Officer of Trinity. Thank you for joining us today. We are modifying the format of this conference call as a result of our recently announced executive changes. Following this introduction you will hear today from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim, our business group leaders will provide an overview of their respective businesses. These figures will be Steve Menzies, Senior Vice President and Group President of the Rail Group and Railcar Leasing Group. Antonio Carillo, Vice President and Group President of the Energy Equipment Group and Bill McWhirter, Senior Vice President and Group President of the Construction Product and Inland Barge Segments. Following their comments, I will provide the financial summary and guidance. Then we’ll move to the Q&A session. Mary Henderson, our Corporate Controller is also in the room with us. As we previously reported, on January 1, 2010 the company adopted the provisions of new accounting pronouncements requiring inclusion of the consolidated financial statements of share holdings and of its subsidiaries and Trinity's consolidated financial statements. You will see this inclusion beginning with the March 31, 2010 Form 10-Q that we will file today. As a reminder, Trip is a Railcar Leasing company formed in 2007 to purchase $1.285 billion of Railcars from Trinity during a two year period. Trinity is currently a 28% equity owner of Trip and served as manager of the Railcar portfolio. Beginning with the first quarter, we will report in our 10-Q the same statistics for Trip that we report for our lease fleet, including fleet size, utilization, average age and the average remaining terminal releases in the portfolio. We will not provide compared statistics for the Trip fleet for prior period. These are the activities of Trip, nor our role in Trip have changed. This change in presentation is simply due to new accounting pronouncement. Trip still remains non-recourse to trinity and no impact on our debt covenants other than an immaterial impact on the network test and a revolver. Now I will turn the call over to Tim Wallace for his remarks
Tim Wallace: Thank you, James, and good morning. I am pleased to report that we saw signs of improvement during the first quarter and the markets our business is served. The majority of our businesses received enough orders to increase their backlog. Based on what we see at this time, it appears we had bottom from a financial point of view during the first quarter. Our revenues during the quarter were comparable to revenues during the first quarter of 2004, when we lost $10.8 million in net income. During the first quarter of 2010, we earned $2 million in net income. I am pleased with the progress we have made in positioning Trinity to withstand a severe economic downturn, the strategies that we implemented during the past decade have helped us manage more effectively through this cycle. Most important, our liquidity at the end of the first quarter remained very strong at 1.2 billion. During the first quarter we completed the acquisition of Quixote Corporation a leading highway products manufacturer. I am pleased with the progress we are making with the integration of Quixote which has been renamed Energy Absorption Systems. Our Barge business received enough orders in the first quarter to maintain consistent production throughout 2010. Demand for railcars in North America also improved during the first quarter. Our railcar manufacturing businesses increased their order backlogs. This was their first quarterly backlog increase since the second quarter of 2008. Our Railcar Leasing Group was successful in maintaining a high utilization rate. Our structural wind towers business received orders during the first quarter which slightly increased their backlog. This business is going through another round of production reshuffling in order to accommodate delays and wind farm developments. This is symbolic of some of the uncertainty that still remains within the wind power industry. All of our manufacturing businesses are closely monitoring their production footprint and we’ll continue to adjust their levels as business conditions change. Going forward, I expect to see a continuation of the rapid changes that currently characterized the global business environment. While there is less uncertainty today than six months ago, predicting the outlooks for our various businesses continues to be challenging. We are still cautious and respect whether a sustained recovery is underway. We are confident in our business’s ability to respond to changes in their market. Our businesses are highly flexible from a manufacturing point of view and we will continue to shift in direct resources as we navigate through the various business cycles. I will now turn it over to Steve Menzies, for his comments.
Steve Menzies: Thank you Tim, good morning. First quarter operating results for the Railcar Group and the Leasing Group met our projections as we shift approximately 500 railcars and we experienced another increase in lease free utilization to 98.3%. I am pleased with our operating performance in a highly challenging and uncertain rail market place. However, more significantly, since the later part of the first quarter we have seen an improvement in demand for certain key railcar types. This improvement in demand is consistent with positive changes and key indicators such as railcar loading and a reduction in ideal North American Railcar fleet. We also see improving operating metrics in our lease fleet such as higher lease fleet utilization and stabilizing lease rates as indicators of an improving market place. During the first quarter the industry received orders to build approximately 5,100 new railcars of which Trinity Rail received approximately 1150 railcar orders. Trinity Rail’s backlog was approximately 2980 railcars at the end of the first quarter, up 28% from 2320 railcars at the end of 2009. Approximately 61% of our rail care production backlog is for customers of our leasing business. Based upon orders received and current enquiry levels, we have increased our projection for railcar production through the end of the year. We now expect to deliver between 800 and a 1000 railcars during the second quarter. We shipped 500 railcars in the first quarter. We added 410 new railcars during the first quarter to our leased portfolio brining our total leased fleet to more than 50,350 railcars up 6% compared to 47,650 railcars at the end of the first quarter 2009. In addition the Trip fleet, totals approximately 14710 railcars. Our lease per utilization increased to 98.3% from 97.8% at the end of 2009. lease renewals and lease rates appear to be stabilized in some markets and even improving in a few others. Our average remaining lease term declined to 3.7 years and the average age of the fleet is 5.5 years. While we are encouraged by the recent improvement in railcar demand. It is still difficult to determine the timing or sustainability of a broad based recovery in railcar demand. Our customers lack the visibility to adequately plan for the long term and they are therefore cautious about making commitments for capital equipment. New railcar orders today are principally to replace older railcars or railcars designed to transport specialized commodities. As you can see by our response to the current shift in railcar market demand, our operating flexibility has allowed us to quickly increase production to meet customer needs. We will adjust to changes in the market place as needed, while aggressively pursuing select railcar building and lease investment opportunities that meet our objectives. Our lease fleet continues to perform well and provides a stable class cash flow stream throughout these difficult operating circumstances. We expect to continue to grow our lease fleet through all phases of the market cycle. I’ll now turn it over to Antonio.
Antonio Carrillo: Thank you, Steve and good morning. During the first quarter, our wind tower business secured settled orders, some from new customers. This resulted in a slight increase in our backlog, which now totals approximately 1.1 billion and expense into 2013, while the majority of our deliveries are for projects in the central sections of the United States. The backlog includes towers that will be delivered everywhere from Delaware to California and all the way to the Southern part of Mexico. We have also shipped towers from our Mexico facilities to South America. The economics of wind energy continue to be challenged by transmission constraints and competitive utility rates. These challenges have caused some wind projects to be the delayed. We continue to work with our customers to accommodate their delivery requirements and have rescheduled some 2010 deliveries to 2011. This ongoing re-shuffling is causing inconsistent revenues and making it difficult to predict results. We are anticipating lower margins this year because of the reshuffling and changes in our product mix. We will continue to be highly flexible and customer focused. We are prepared to resume growing when the market conditions improve. While federal funds have been slow to work their way through the allocation process, we continue to be encouraged by President Obama’s support of renewal energy. I will now turn it over to Bill for his comments.
Bill McWhirter: Thank you Antonio and good morning everyone. Our Construction Products Group continues to make good progress on the integration of VAS into our highway products business. The second quarter marks the beginning of the construction season and we are seeing a strong level of activity supported by federal highway spinning and stimulus funds. We will continue to gain synergies from the EAS acquisition throughout the year and will begin seeing the full impact of the integration in 2011. On the concrete and aggregate side, we continue to see a weak market in home building and commercial projects. Highway related projects have provided some support to our construction materials business, but not enough to completely offset the declines in general construction. The construction season should bring better volumes, but margins will likely continue to be pressured as compared to last year. In 2009, our Island Barge Group produced record earnings, making comparisons to 2010 challenging. For the first quarter 2010, we had solid results from both the profit prospective and an order intake view. During the quarter we received orders for approximately $140 million, demand still remains choppy, but key indicators are moving on the right direction, albeit slower than we would like. Our production team continues to do a great job at finding efficiencies and lowering cost by providing quality products to our customers. And now I turn the presentation back to our incoming Chief Financial Officer, James Perry.
James Perry: Thank you Bill. My comments today will relate primarily to the first quarter of 2010. We will follow our Form 10-Q today. For the first quarter of 2010, Trinity reported earnings of $0.02 per diluted share. This compares to the $0.43 per share in the same quarter of 2009. Revenues for the first quarter were $454 million, as compared to $793 million in the same quarter last year. For the first quarter Trinity EBITDA was $98.7 million. Reconciliation of EBITDA was provided in our news release yesterday. In our Rail Group, revenues decreased on a quarter-over-quarter basis by 74% to $74 million. Margin results for the Rail group were a loss of $7.9 million or a margin of 10.8%. Our Rail Group backlog grew during the quarter by 28% from year end to approximately 2,980 railcars with an estimated sales value of $250 million at March 31, 2010. Our railcar leasing and management services grew reported revenues of $121 million. These revenues include the impact of $29 million of revenues from Trip, which as I mentioned earlier is consolidated with Trinity's results beginning this quarter. Operating profit for the quarter was $48.2 million, including $17.1 million from Trip. Revenue for the leasing business are expected to be $110 million to $120 million higher and operating profit for leasing is expected to be $65 million to $70 million higher. During 2010, than they would have been without the consolidation of Trip In the first quarter, Trip provided Trinity with earnings per share of between $0.01 and $0.02. We would expect this level of quarterly contribution from Trip to continue assuming the Trip’s operating metrics remained relatively consistent. [Lehman Brothers] group’s first quarter performance was solid with revenues of $97 million in operating profit of $17.8 million, a margin of 18.3%. Our Barge business received orders during the first quarter that resulted in its backlog growing by 13% from a year-end figure of approximately $319 million to approximately $360 million of March 31, 2010. During the first quarter, the energy equipment group’s revenues declined by 30% quarter-over-quarter to $90 million, $55 million of the first quarter revenues were from our wind towers business. Operating profits were $10.4 million, resulting in an operating margin of 11.5%. As compared to operating profit of $18.3 million in the first quarter of 2009. These are the results due to a slowdown in the wind tower market and a decision by our wind towers business to delay certain deliveries to accommodate customer’s request. The backlog for the wind tower’s business remained healthy, grew slightly and was $1.1 billion as of March 31, 2010. Revenues for our construction products grew for $118 million in the first quarter, as compared to $123.5 million a year-ago. This group reported operating profits of $2.7 million, as compared to a loss of 1.7 million in the same period a year-ago. At March 31, we had $335 million available under our rail car leasing warehouse facility and $336.1 million available under our revolving credit facility after accounting for $88.9 million in letters of credit. Combined with our unrestricted cash and short term marketable securities balance of $522.8 million, our total liquidity was approximately $1.2 billion at the end of the first quarter. Now, I will move to our forward-looking guidance. In first quarter of 2010, we had normal leasing capital expenditure of $6.2 million, our current forecast is for approximately $40 million of non-leasing capital expenditure in 2010. In the first quarter net additions of railcars to the lease fleet totaled $30 million. For 2010, we anticipate approximately $200 million to $225 million in net fleet additions due to improving market conditions. We anticipate earnings per share for the company to be between $0.15 and $0.20 in the second quarter. For 2010, we anticipate our full year earnings will range between $0.45 and $0.65 per diluted share. We anticipate that the rail group will report an operating loss of between $7 million and $10 million for the second quarter of 2010. We expect Inland Barge revenues up between $100 million and $110 million in the second quarter with an operating margin of between 12% and 14% for the same period. Revenues for the energy equipment group are expected to approximately $115 million to $125 million in the second quarter. Margins are anticipated to be between 10% and 12% in the second quarter, as we manufacture less profitable orders from the backlog. The adjustment in production schedules for this business to meet customer needs has resulted in several orders being pushed back to future years. As a result, we expect the wind tower business to contribute $280 million to $300 million in revenues during 2010. We remained well positioned with the diversified portfolio businesses of a strong balance sheet and solid cash flows. We have been very focused on these items to assure we are positioned to capitalize on business opportunities as they arise as reflected by the acquisition of Quixote Corporation in the first quarter. Now our operator will prepare for the Q&A session.
Operator: (Operator Instructions). And we will take our first question from the line of Steve Barger with KeyBanc Capital. Please go ahead.
Steve Barger - KeyBanc Capital: First, Tim, you said that there is less uncertainty today, but its still tough predicting the outlook yet you are willing to take the guidance up one quarter into the year. Is that a function of what you are seeing in the macro environment or is it the positive book to bill, on rail, or barge or specifically can you tell us what gives you confidence to take that guidance range up?
Tim Wallace: Well Steve, it really has to do with the enquiry levels that we have from our customers and the backlogs that we have been able to build in that area and we are assuming that there is some sustainability of this kind of movement throughout the year, so kind of a combination of the backlogs and the field that we are getting out in the industry
Steve Barger - KeyBanc Capital: Can you talk maybe, Steve, what car types you are seeing the most inquiry activity on and is there any order activity following the close of the quarter that you can talk about?
Steve Menzies: Well that’s on the later part. We don’t use the comment about orders but we have seen good enquiry activity and we are pleased as Tim said with the outlook at least near term and enquiries for rail cars, as far as types, if you look at the railcar types that are most ideal. For instance, coal cars and mobile cars, those are the cars we don’t have demand for, but we are seeing demand for covered hoppers for a various commodities and the chemical and petrochemical industries and we thank our sector. So there would be some stronger areas by comparison.
Steve Barger - KeyBanc Capital : And I think I have these number right, for the year you expect $200 million to $225 million in net lease fleet additions or I am guessing if you net out first quarter $170 to $195. The backlog is not $250 million. Is the current backlog mostly for the lease fleet or is your expectation that you are going to take other lease orders as the year progresses?
Steve Menzies: 61% of our current backlog is committed to customers of our leasing business and in certain markets where we see improving investment returns, we’ll continue to make investment as we said we are continuing to grow our leasing business in those areas
Steve Barger - KeyBanc Capital: And one more and I’ll get back in line. For the inquiries that you are seeing, who are the buyers typically? Is it shippers or class ones, or is it other leasers, what’s the feel of the market in terms of where you are getting order inquiry?
Tim Wallace: Steve will you handle that?
Steve Menzies: Sure, we are seeing industrial shippers in those specific market sectors need equipment to respond the changes in their market place. We are having discussions with several leasers about opportunities to buy cars and the railroads are keen buyers at opportunistic opportunities to buy at the low end of the market place and they are always nibbling as well. So we are seeing increase from all three of those market factors.
Operator: And our next question will come from the line Paul Bodnar with Longbow Research. Please go ahead.
Paul Bodnar - Longbow Research: Question on the barge group, it sounds like margins are coming back here a little bit in 2Q. Is that something where you guys have been a little more aggressive on price to gain market share or if you could just kind of give a little more color on that?
Tim Wallace: Bill would you address that
Bill McWhirter: From a Barge prospective I think the margins as we go forward are a little more reflective of orders taken throughout ‘09 and a little bit in ’10. So obviously a more competitive environment than orders taken to the later part of ’08, but its certainly not a market share driven activity, more of just demand and capacity.
Paul Bodnar - Longbow Research: So that is something that as we get into with the environment improves, we could look at margins heading back up to prior levels? Is there anything that would prevent that?
Bill McWhirter: Well again I think its going to be demand and capacity and we would certainly hope that margins could expand as business got better.
Tim Wallace: And most of the barges that are being sold are in the kind of the replacement area, aren’t it Bill?
Bill McWhirter: Absolutely demand for Barges right now, seems to be solely replacement and a little bit opportunistic just a (inaudible) there has been to be a lot of rumors about steel pricing moving upward and I think some people are coming to the table that steel continues to go up.
Paul Bodnar - Longbow Research: We had a pretty strong order activity this quarter, too. I mean, is that something that it sounds like that was obviously a replacement driven but any expectation what we can think on a run rate on that going forward. How are you seeing 2Q entry levels and then I know you have your annual contract you get every year coming in 2Q I believe also?
Bill McWhirter: Yeah I know I said that the order activity or the enquire activity was choppy and it continues to remain choppy so, I don’t think you can project order as when you look forward.
Paul Bodnar - Longbow Research: Okay and another question on Trip it looks like that if after net out interest expense and all that the margin on the Trip business looks like it would be a little bit higher than what would be a near internal lease fleet. Again, a reason on that or obviously again adjusting interest expense on both
Tim Wallace: Sure I think you’ll get a little bit and look at Trip when you see our 10-Q so I’ll be happy to go through that with you later as well. Because, there is several adjustment that come to our revenues and operating profits such as we go down to the net income line come out in the new consolidation we are going through so I think its hard to take a look at Trip on its own and look at the operating profits, the interest and the revenue margins the famous (inaudible) we do have car sales that are all through our fleets. (inaudible) has got a little higher utilization and its got a little wonder remaining lease in the 10-Q as well. So the truth is a bit of a newer fleet but overall its very comparable to the [synergy].
Paul Bodnar - Longbow Research: I will address that with you offline. Thanks
Operator: (Operator Instructions). I move now to the line of Louis Sapir, Oppenheimer & Company. Please go ahead.
Louis Sapir - Oppenheimer & Company: Has the government stimulus any significant effect on your business and the withdrawal of the government stimulus being a significant deterrent to what you are doing.
Tim Wallace: James you want to take that.
James Perry: One place Antonio mentioned there are some federal programs on the wind tower business some of that has been slow for allocation working its way through the system, we are still seeing some of that in the administration support of wind energy. On the construction part is that I think Bill mentioned as well, we have seen some benefit in the highway particularly from he stimulus spending. There is currently a rent of short term bill on the highway side they were seeing some benefit from I think as always the highway business does have benefits from a longer term more somewhat permanent highway bill or the state can’t get their projects and so government can get their projects funded so, we are certainly seeing some impact there. Benefit for certain programs but you know long-term its hard to make a determination now given where some of the bills are in Congress.
Louis Sapir - Oppenheimer & Company: Approximately what percentage of business would you ascribe to the stimulus?
James Perry: Its pretty small Louis you know the wind tower piece you have seen our backlog grow over the last several years but a not a lot of that on the backlog side and wind towers come in the last about couple of years and some of these new partners have come into play. On the highway business side of course that’s a rather small business in the grand scheme of Trinity, growing with our recent acquisition as well. So, part of that depends on spending of the federal and the state level but not necessarily just spending of the (inaudible).
Operator: (Operator Instructions).
Tim Wallace: Okay it does appear we have no more questions, so we’ll conclude today’s conference call. A replay of this call will be available starting 1 hour after the call ends today midnight Thursday, May 6th. That access number is 402-220-1117. Also this replay will be available on our website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: And then this will conclude today’s teleconference. We thank you for your participation, you may disconnect your lines and please enjoy the rest of your day.